Operator: Good morning. My name is Laurie, and I will be your conference operator today. At this time, I would like to welcome everyone to the MasterCard First Quarter 2016 Earnings Call. I would now like to turn the call over to Barbara Gasper, Head of Investor Relations. You may begin.
Barbara L. Gasper - Executive Vice President & Group Executive: Thank you, Laurie. Good morning everyone, and thank you for joining us for a discussion about our first quarter 2016 financial results. With me on the call this morning are Ajay Banga, our President and Chief Executive Officer and Martina Hund-Mejean, our Chief Financial Officer. Following comments from Ajay and Martina, the operator will announce your opportunity to get into the queue for the question-and-answer session. Up until then, no one is actually registered to ask a question. Even if you think you have already dialed into the queue, you need to register again following our prepared comments. This morning's earnings release and the slide deck that will be referenced on this call can be found in the Investor Relations section of our website at mastercard.com. The documents have also been attached to an 8-K that we filed with the SEC earlier this morning. A replay of this call will be posted on our website for one month. Before we get started, I'd like to point out a change we have made around reporting the impact of currency on our business. As Martina mentioned on our last earnings call, we realize it has become more difficult for many of you to model our business as FX rates continue to move around. Therefore beginning this quarter, instead reporting FX adjusted growth rates, which only reflected the translational impact of two functional currencies, the euro and the Brazilian real, we are now reporting currency neutral growth rates which include both the impact from translating functional currencies into US dollars for reporting purposes as well as the underlying impact of local currencies being converted into their functional currency. Finally, as set forth in more detail in today's earnings release, I need to remind everyone that today's call may include some forward-looking statements about MasterCard's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance are summarized at the end of our press release as well as contained in our recent SEC filings. And now with that, I'd like to turn the call over to Ajay.
Ajay Banga - President, Chief Executive Officer & Director: Thank you, Barbara. Good morning everybody. We were very pleased to deliver solid results this quarter, despite what I think everybody would agree is an ongoing mixed global economic environment. On a currency neutral basis, we reported net revenue growth of 14% and an EPS growth of 1%. But when you remove the impact of the nonrecurring discrete tax credit and the balance sheet remeasurement related to Venezuela in last year's first quarter, our EPS growth is 12%. So now let's take a look at the global economy, and I think it's largely unchanged from what we discussed last quarter with the US economy remaining solid with inflation and wages growing at a similar pace and the unemployment rate kind of holding steady at 5%. We just saw the unemployment rate numbers coming out this morning as well. However, as we know from the Fed comments yesterday, uncertainty remains about when they might take action as well as the potential impact from the global economy. So looking at the rest of the world, the economic outlook continues to be mixed. In Europe, both consumer confidence and economic sentiment declined slightly this quarter. However, recent stimulus measures by the European Central Bank and steady improvement in the unemployment rate I think should continue to drive growth across the region, particularly in the UK and Germany. Asia is still challenged by the continued slowdown in China. Consumer confidence remains cloudy with the exception being India where both consumer and business sentiment remain high. In Latin America, Brazil is still in the worst recession in the country's history, and of course, economic conditions in Venezuela are deteriorating further. But Mexico is stable and it seems to be driven by solid consumer spending and declining inflation. So none of this surprises us, but it does seem that we are likely to remain in a period of economic uncertainty. And so that said, we've continued to work hard to ensure that our business maintains its strong growth trajectory and we are seeing double-digit volume and transaction growth across most of our markets. In addition, we are benefiting from the successful integration of our recent acquisitions and continuing to grow our services business. As I told Barbara yesterday, at this time, steady as she goes is what our focus is. So now let's move on to some of our recent business activity. During the quarter, we signed a number of new deals and renewals supporting the expansion of our business around the world. I want to give you a few examples. In Europe, we extended our contract with Nordea, which is the largest bank in the Nordics for their consumer credit and their commercial card portfolios and we added the rollout of MasterPass and In Control with them. Staying in Europe, we also renewed and extended our contract with DSGV, the largest banking group in Martina's home country of Germany, for their credit business. We also included the rollout of MasterPass. Further, we added a new debit portfolio with UniCredit, a leading European financial group based in Italy. In Asia, we just recently renewed and expanded our contracts with both Mitsubishi UFJ NICOS, which is one of the largest issuers in the region for their consumer and their commercial credit business, and with Maybank, the largest bank in Malaysia, for their credit and debit business. And finally, I'm going to talk a little bit about an example of working with a number of our merchant partners and I'm going to give you a specific example. This one is of McDonald's. We've talked in previous calls of a partnership with them in the Middle East, now in South Africa as well, where McDonald's is leveraging MasterPass to simplify the ordering process as well as utilizing contactless functionality at their restaurants. Of course the idea is to improve the drive-through and the dining experience. But our McDonald's partnership actually has now gone beyond the core business. Now they're also a customer of Applied Predictive Technologies, or APT, the cloud-based data and analytics company that we acquired last May. McDonald's use APT's software to analyze a variety of strategic initiatives, including new food and menu items, determining which items should be on the menu and other business priorities. And that's just one of the many examples of the value we can provide to our merchant partners when you combine products that we have with the data analytics that we are capable of analyzing with them. So next I'd like to give you an update on how we are advancing our strategy in the digital payments space, and I'm going to start with MasterPass. So remember, we're in a marathon here, and we're making great progress with our digital by default strategy. Now that's about enabling issuers to auto-enroll cardholders onto the MasterPass platform without any additional effort having to be made by the consumer. We're looking forward to announcing some bank partners who will be leveraging this ability in the near future. And as we continue to drive new acceptance of MasterPass as well, we are closing in on signing up about 270,000 merchants representing more than $160 billion in addressable volume. Earlier this month, Vodafone Egypt migrated nearly 2 million Vodafone Cash wallets from their closed loop system to our mobile Payment Gateway platform, and that enables us to process all of their transactions. This migration builds on our goal of creating an interoperable network across the Egyptian mobile payment ecosystem that I've spoken to in an earlier call and helps to drive our strategy of financial inclusion and of course accelerate the conversion of cash. And then moving on to MasterCard Digital Enablement Service, or MDES. We continue to make significant progress around making digital transactions more secure via encryption and tokenization. In Asia, we're pleased to now have more than 30 issuers signed up for the MDES service. We also launched the first NFC-based wallet in Latin America with Citi Banamex in Mexico utilizing our cloud-based payments technology. And by the way, this wallet, the Citi Banamex one, was created by developers from our C-SAM acquisition, which actually gave us access to a very talented pool of engineers who are enabling us to build out capabilities for issuers and merchants exactly like the example of Citi Banamex. And finally, we continue to support our digital partners by helping Android Pay launch in the UK, and both Samsung Pay and Apple Pay are expanding to Singapore. We are also pleased to be partnering with Facebook as they leverage MDES to test tokenization by enabling pilot participants to interact with sellers and advertisers directly on the platform to complete their purchases all without ever having to leave the Facebook app. So moving on to safety and security. You know there's a lot of effort from us and others going into this space and as a result of successful biometric trials in the Netherlands and the US that we announced last August, we're actually launching MasterCard Identity Check, fondly referred to as selfie pay, in the US, Canada, and parts of Europe this summer with more countries to be announced soon. Much of the initial interest in Identity Check has come and been attached to the consumer side of these businesses. But interestingly, we're actually currently working with BMO Financial Group, that's the Bank of Montreal in Canada, to roll out the first corporate credit card program using selfie pay in both the US and Canada. In addition, we recently launched IQ Series. That's a suite of products which uses real-time intelligence to impart issuers to make more informed fraud management decisions, as well as most importantly, potentially decrease the growing problem of false declines. Industry studies are showing that one out of every six cardholders have experienced at least one decline because of suspected fraud in the past year. And that by the way adds up to false declines of $118 billion a year, or several times the actual amount of true card fraud. Next, we worked with our issuers to deliver additional benefits to our cardholders and kind of protect them even more from fraud. As of two weeks ago, all MasterCard consumer and small business cardholders are now covered by the industry's first global, all around the world, zero liability promise, ensuring they're not responsible for any unauthorized charges. And while on the topic of safety and security, let's spend a minute on the status of EMV in the US. We now have about 67% of our consumer credit cards and 24% of our consumer debit cards with chips in them. Roughly 1.2 million US merchant locations are now accepting these cards. And while that's good progress we are seeing across the industry, and also in our own numbers, I think everybody recognizes that checkout times at the terminal may appear longer when using a chip card. And to help address that concern, we announced M/Chip Fast, which is to help speed EMV transactions, you'll leverage the capabilities of our existing contactless technology, which as you know, has been deployed in various transit and other applications around the world. Using that, cardholders will experience mag stripe transaction speed but with the added security of EMV and chip. At the same time, we've got to make this happen in collaboration with the industry, including other networks to look at how to bring a consistent approach to the market and best support the EMV checkout experience. And the point of all these examples is that people shop with all sorts of devices and through multiple channels. And they expect technology to simplify that process while keeping the transaction safe and secure. Now I gave you all these examples to demonstrate and reinforce our commitment to protecting every transaction. It doesn't matter whether it took place in the physical world or the digital world. We are committed to doing this. Just for the last several minutes talking to you about how we have grown our business through a series of organic investments, and it's important to recognize we have also been growing our business by integrating the various acquisitions we made over the past few years, trying to expand our presence across the payment value chain. So let me give you a couple of examples across information services and processing. So let's start by information services, that business within Advisors. I mentioned APT earlier when I talked about McDonald's. One of the great things about their subscription-based business model is that it generates a recurring revenue stream with an average contract length of about three years. And since the acquisition, we've integrated the sales and product organizations of APT with Advisors to drive some pretty good benefits. Let me give you an example. Since their acquisition, 30 organizations have subscribed to the APT platform in long-term contracts, and in addition to McDonald's that I talked about, I'll give you a few more: Asahi Breweries in Japan, Sunoco in the US, and in the UK, KFC. We have also signed more than 15 new deals incremental to APT's earlier business as usual efforts. In other words, using MasterCard's client relationships and coverage, including by the way one of the largest airlines in Europe, one of the largest retailers in Brazil, two of the largest financial institutions in Asia and several in the US. What's exciting about all these deals is that they include expanding relationships with long-time APT clients who now also license newly created product modules, leveraging insights derived from MasterCard data. Now finally we launched APT Engage, which is a suite of products which leverages aggregated and anonymized MasterCard payment transaction data combined with APT's proprietary analytics to help issuers and merchants better understand customer spending behavior, so which products have higher loyalty as well as planning for new retail locations. That's about information services. On to processing. The idea there being to extend our capabilities beyond switching, getting beyond authorizing, clearing and settlement. Through our Payment Transaction Services business, we signed a deal with BNP Paribas in Poland to provide issuer processing services, which by the way has also enabled us to become one of the major third-party processors in the country. Here in the US, our year-old partnership with Green Dot to process all of their debit and prepaid cards has resulted in the successful migration of now approximately 50 million account files with another 50 million to occur over the balance of 2016. And lastly in the same business, we enabled several transit operators in Turkey to begin using NFC capabilities by processing contactless cards and thereby allowing us to increase our share of domestic processed transactions. Staying with processing on the Prepaid Management Services side, we've just implemented a card program with British Airways to facilitate compensation payments to BA passengers for delayed or canceled flights or lost luggage. We also launched the first dual purpose travel insurance and multi-currency prepaid travel product with Flight Centre, which is one of the world's largest travel agencies. And lastly as a result of integrating our acquired assets into our Payment Gateway Services business, we are now able to offer products globally, which include integrated fraud and risk management solutions to both merchants and to acquirers. We're already seeing several new wins including four new deals with key acquirers and resellers in Australia, India, Saudi Arabia, Singapore, who can now offer these capabilities to their merchant base and in turn, that kind of helps us expand our footprint in these markets. We've also worked to ensure that our Payment Gateway provides acceptance of the latest digital payment methods. We now support both Apple Pay and Android Pay in addition to MasterPass. Look, we all recognize these acquisitions require a certain amount of time, investment and resources to integrate. We've worked very hard to ensure this happens seamlessly and efficiently. We're now clearly seeing the benefits that come from them, both in our dialogue and in our engagement with our customers. So with that, I'm going to turn the call over to Martina for an update on our financial results and operational metrics. Martina?
Martina Hund-Mejean - Chief Financial Officer: Thanks, Ajay, and good morning everyone. Let me begin by giving you some highlights on the first quarter, starting with page three, where you see the difference between as reported and currency neutral growth rates for this quarter. As Barbara explained at the start of this call, we have now changed how we report the impact of currency. So instead of reporting FX adjusted growth rates, which only reflected the translational impact of the euro and the Brazilian real functional currencies, we are now reporting currency neutral growth rates, which exclude all impacts of foreign exchange rates. This is both the impact from translating functional currencies into US dollar for reporting purposes as well as the underlying impact of local currencies being converted into the functional currency. We hope that this change will make it easier for you to understand the underlying performance of our business. And all of my comments going forward will pertain to our new currency neutral growth rates. Net revenue growth was 14%. While operating expenses grew significantly, this was mostly due to the difference between FX hedging and balance sheet remeasurement gains that we had in the year-ago quarter versus foreign exchange losses on our hedging contracts in this quarter. I will talk more about this when we get into the detail of operating expenses. As expected, net income was also impacted by a higher tax rate than in the year-ago quarter due to the non-recurrence of a discrete US foreign tax credit from which we benefited in the first quarter of 2015. EPS was $0.86, up 1% year-over-year. But as Ajay said, it was impacted by $0.08 due to the discrete tax item that I just mentioned and the Venezuela balance sheet remeasurement gain in the year-ago quarter. When you exclude these two items, EPS grew 12%. Share repurchases contributed $0.03 per share, and as of April 21, we have $2.9 billion remaining under our current authorization. And lastly, cash flow from operations was $1 billion, and we ended the quarter with cash, cash equivalent and other liquid investments of about $6.2 billion. So let me turn page four, and here you can see the operational metrics for the first quarter. Included in these numbers is a positive lift of about 1% due to leap day on all of our metrics. Our worldwide gross dollar volume or GDV growth was 13% on a local currency basis. That's about up 1% from last quarter. Overall, our US GDV grew 10%, made up of credit and debit growth of 11% and 8% respectively. Total US GDV had a continued 1% headwind from lower gas prices. Outside of the US, volume growth was 15% on a local currency basis, also up about 1% versus last quarter with mid to high teens growth in each region except Canada, which was impacted by that lapping of our Costco win. Cross-border volume grew 12% on a local currency basis, and that's similar to what we saw in the fourth quarter. Turning the page five, processed transactions grew 14% globally to $12.6 billion, a 2% increase from what we saw in the fourth quarter, with higher growth in all regions except Canada, again due to the lapping of our Costco win. Globally, the number of cards grew 7%, with 2.3 billion MasterCard and Maestro branded cards issued. Let me turn to page six for highlights on a few of the revenue line items. Net revenue growth was 10% as reported or 14% on a currency neutral basis given currency headwinds. We saw strong volume and transaction growth, particularly in the US and Europe, and some of which was due to the impact of leap year. Rebates and incentives were slightly higher than what we expected due to deal renewals. Looking quickly at the individual revenue line items on a currency neutral basis. Domestic assessments grew 13%, in line with worldwide GDV growth. Cross-border volume fees grew 14% while cross-border volume grew 12%. The 2% gap is due to a number of pricing actions partially offset by a higher mix of intra-Europe activity. Transaction processing fees grew 18%, primarily driven by the 14% growth in processed transactions as well as some pricing. And finally, other revenues grew 22%, driven primarily by our APT acquisition and our Safety and Security product offerings. Moving on to page seven, here you can see that total operating expenses increased 25% in the quarter or 29% on a currency neutral basis. Most of this increase is due to FX movements recorded in our G&A line. I mentioned on our last earnings call that we recorded a large amount of FX gains in the year-ago quarter, mostly due to one-time gains related to Venezuela. The absence of those gains plus the unrealized losses we recorded this quarter on our FX hedging activity due to the weakening of the US dollar relative to year-end 2015 resulted in an almost $130 million increase to expenses. Excluding this and a 4% impact from acquisitions we did not have in the year-ago quarter, G&A grew 11% as a result of our continuing investment in areas such as digital, data analytics, and safety and security. The increase in depreciation and amortization expense is primarily due to the amortization of intangibles related to our acquisitions. So now I'm going to turn to slide eight. Let's discuss what we have seen in April through the 21st. While many of our business drivers are similar to the first quarter, direct comparisons to the first quarter are a bit difficult since it had the benefit of both leap day and Easter. The numbers through April 21 are as follows. Starting with processed volume, we saw global growth of 13%, the same as in the first quarter. In the US, our processed volume grew 10%, down roughly 1% from the first quarter with slower growth in both credit and debit. Gas had less than 1% negative impact on our April growth, down slightly from the first quarter impact. Processed volume outside the US grew 16%, up 1% from the last quarter with higher growth in most regions and primarily driven by Europe and APMEA. Global processed transaction growth was 14%, the same as we saw in the first quarter. Processed transaction growth outside the US was up a bit with increases in APMEA and LAC while the US growth was down almost 2% due to slower growth in both credit and debit. With respect to cross-border, our volumes grew at 11% globally, down 1% from last quarter with slower growth in Europe, primarily due to the timing of Easter. Let me start out with a quick comment about our long-term performance objectives for 2016 to 2018, which excluded the impact from our two major functional currencies, the euro and the Brazilian real, as well as excluded any new M&A activities. Since we are now making the change to recognize the impact of all foreign exchange on our business, we reviewed these objectives and determined that no change is required from what we issued previously because we had baked in very little local FX impact over the three-year period. Therefore our 2016 to 2018 objectives remain as follows but are now on a currency neutral basis. Net revenue CAGR of low double digits, operating margin of at least 50%, and an EPS CAGR in the mid teens and measured off a 2015 pro forma EPS figure of $3.12. Now moving specifically to this year, there's really no change in our outlook for the business from what we discussed with you on our earnings call back in January. The US and European economies are showing some sign of improvement, but the rest of the world remains challenged. In addition, FX headwinds will continue to be with us into 2016, although likely not as significant as 2015 given current FX rates. And our underlying business fundamentals remain strong. We will continue to run the company for growth both on the top and on the bottom line as well as balancing our investments with astute expense management. As we look at full-year 2016 and after factoring in our new currency neutral methodology, we continue to expect to be at the low end of our three-year revenue growth range. When you model on an as reported basis, you will need to adjust to the impact of all currencies and at the current rates, we estimate that it would mean about a 3% headwind on net revenue growth and about a 4% headwind to the bottom line. And let me call out a few other items that you should consider when modeling 2016. So for rebates and incentives, we continue to expect to see growth in the high teens, slightly lower than the 20% as reported growth rate we saw in 2015. On expenses, we still expect total operating expense growth in the high single digit range on an as reported basis. And finally, you should assume a tax rate of slightly less than 30% for 2016. Now let me turn the call back to Barbara to begin the Q&A session. Barbara?
Barbara L. Gasper - Executive Vice President & Group Executive: Thank you, Martina. We're now ready to begin the question-and-answer period, and in order to get to as many people as possible, we ask that you limit yourself to a single question and then queue back in for additional questions.
Operator: Your first question is from Glenn Greene of Oppenheimer. Your line is open.
Glenn Greene - Oppenheimer & Co., Inc. (Broker): Thanks. Good morning. Nice results. I guess I just wanted to ask the first question on somewhat of a slowdown on US volume growth. Obviously still strong, but the January update you had given was 12%. We sort of have the leap year benefit, the timing of Easter. Anything to sort of call out in terms of the gradual slowdown in the US?
Martina Hund-Mejean - Chief Financial Officer: Well look, first of all, I think what you saw in the first quarter was very similar to what we saw in the fourth quarter, so there was really a continuation in terms of how the US consumer feels. The first three weeks of the second quarter, so that is April, first of all as I tell you always, it doesn't really make a quarter. But you have the effect of Easter in there, right, because Easter was in March, not in April, and that typically happens to be a bigger effect in the United States.
Ajay Banga - President, Chief Executive Officer & Director: And in Europe, probably. Those are the two places where Easter has some impact. You'll see less impact from Easter in the other regions of the world. So right now, we got no further conclusion for you, Glenn.
Glenn Greene - Oppenheimer & Co., Inc. (Broker): And any impact at this point from USAA rolling off? Or is that sort of, the timing of that's sort of?
Ajay Banga - President, Chief Executive Officer & Director: Very early days, small impact right now. But I'm sure that will build as we told you over the course of the year and into next year.
Glenn Greene - Oppenheimer & Co., Inc. (Broker): Okay, great. Thank you.
Operator: Your next question comes from the line of Bill Carcache of Nomura. Your line is open.
Bill Carcache - Nomura Securities International, Inc.: Thank you. Can you give some color around the trajectory of your investment spending as we progress through the year, and maybe any thoughts on when we can expect positive operating leverage to return? Thank you.
Martina Hund-Mejean - Chief Financial Officer: Bill, look, first of all, a couple of thoughts. Our investments does bounce around by quarter or quarter, but we don't give really a quarterly outlook for you, so you're really going to have to think about the high single digit as reported numbers for OpEx in total that I was just telling you about. And that does include all of our operating expenses, including the foreign exchange losses that we booked in the first quarter. So hopefully by knowing the first quarter, you are able to chart out the next three quarters for the year given that we're giving guidance for the high single digit number. In terms of operating leverage, what we have said when we looked at our business, and we do that actually every year, that we feel very comfortable with an operating margin in excess of 50%. Remember, we are really running the business for revenue growth, so for top line growth, which means that we are having to make a number of investments in on the OpEx side in order to generate the bottom line growth. So we are holding that as a metric, and at this point in time, the heavy duty investments that are happening is in the digital arena, is in the data analytics arena as well as in the safety and security arena.
Bill Carcache - Nomura Securities International, Inc.: Thank you.
Ajay Banga - President, Chief Executive Officer & Director: At the end of the day, if you take out the currencies, our revenue growth was 14% in our G&A growth if you take out these one-timers was 11%. That's kind of how we are running the company on a daily basis. We may have quarters when the gap between the two will be wider. We may have quarters when it's a little narrower, because that's the point that Martina was making. We don't really manage that on a quarterly basis. What we try and do for the year as a whole is to make sure that we have good revenue growth and put money back into the priority areas. That's kind of what you're seeing in our underlying business. FX and balance sheet remeasurement and stuff of that type, it's important. It matters to a shareholder, but if I let that interfere with the way I'm investing in digital and data and safety and security, I don't think that would be the right thing to do. So that's how we're trying to run the place.
Martina Hund-Mejean - Chief Financial Officer: Yes, and in fact, the underlying G&A growth of 11%, when you actually extrapolate that to operating expense growth, so same basis, taking out the acquisitions as well as the foreign exchange losses, it was 8%.
Ajay Banga - President, Chief Executive Officer & Director: There you go.
Martina Hund-Mejean - Chief Financial Officer: So you would look at the operating expense growth of 8% versus a revenue growth of 14%. So you can actually see that there is positive leverage.
Bill Carcache - Nomura Securities International, Inc.: Understood, thank you.
Operator: Your next question comes from the line of Sanjay Sakhrani of KBW. Your line's open.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Thank you, good morning. I just had a question just on Europe, how things are progressing there as Visa is getting closer to its deal with Visa Europe and then maybe just a little bit about the M&A opportunities out there. Thanks.
Ajay Banga - President, Chief Executive Officer & Director: Okay, Sanjay, got to wait for Visa to get through with acquisition processes. You heard on their call, they have got some timing change and some construct changes in that. I think the construct changes actually make it simpler for the banks to evaluate what they are getting and what they are not. And so that's actually a good thing for everybody. And the timing change will just have an impact on how these deals progress over time. So we're working our way through it and we're working hard in Europe. And M&A, I presume you're asking about broad ideas on M&A. And broad ideas on M&A aren't any different from what I've told you in the past, which is some deals have come across. We see deals every quarter. We end up probably seeing sometimes as much as 15 to 20 deals. We end up doing one or two, if we're lucky, in the course of a period of time. A couple of years ago, we did more than that. It just depends. It depends on if it's what we need for product or geography or expansion of capabilities. But we are actively looking all the time.
Martina Hund-Mejean - Chief Financial Officer: Yeah, the areas really haven't changed in terms of what we have told you before, which is in the processing arena, in the information services arena, in the loyalty arena. Technology is really important for us. But those areas really have not changed.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Moshe Orenbuch of Credit Suisse. Your line is open.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): Great. I guess there have been some press reports about the potential for an acquisition. Could you just talk generally about what types of assets would be kind of interesting at this point, and how you're thinking about the acquisition front?
Ajay Banga - President, Chief Executive Officer & Director: Yeah, Moshe, so there is actually a little bit of that, as Martina was just referring. We're trying to build out capabilities in the areas we've identified over the last three years in our strategic plans and our investor days. Basically, that's in processing, so we get to see more transactions and we get beyond the clearing, authorizing and settlement space of the existing card kind of business. So that's why you saw us doing, and you saw in my opening remarks the commentary on the different processing entities and how they fit into what we are doing. It could be in the DataCash kind of space, which is the Payments Gateway area. It could be with things like Provus and Trevica. Those are all in the regular transaction processing spaces, or it could be in any space that allows us to get to see more transactions. When six, seven years ago, we used to see under 40% of our transactions, we now see close to 50%. That enables us to do a better job with our core products, but even more importantly, with our Information Services and Advisors and Safety and Security products, which is where we're putting some emphasis. So that's the second area beyond processing. Anything that gives us capabilities, strength, geography, product knowledge or skill sets in data analytics, in safety and security, in information services, in loyalty and rewards, hence the acquisitions in Australia that we've done. That's all about those spaces. And we haven't wavered off that. And you know, you read speculation every once in a while, and speculation is speculation until we can announce anything to you. So don't take it to the bank.
Moshe Ari Orenbuch - Credit Suisse Securities (USA) LLC (Broker): Thanks very much.
Operator: Your next question comes from the line of Tien-tsin Huang of JPMorgan. Your line is open.
Tien-tsin Huang - JPMorgan Securities LLC: Great, thank you, and thanks for moving to the FX neutral. It's great.
Ajay Banga - President, Chief Executive Officer & Director: I told Martina you'd be the most happy boy there.
Tien-tsin Huang - JPMorgan Securities LLC: Yes, my head's always spinning, so a little less spinning is good. I wanted to I guess ask on the US I guess credit overall actually, just credit purchase volume. I saw that US credit volume accelerated a little bit from the metrics sheet. and it outgrew international credit I think for the first time that I can remember. So and the international credit looks like it's slowing a little bit. How much of this is cyclical or are there some other things to consider, some win/loss dynamics maybe that we should be aware of?
Ajay Banga - President, Chief Executive Officer & Director: So Tien-tsin, some of it is just that remember for a while, our issuer mix was underperforming soon after and for many years after the crisis. If you look at the reports, you'll find it so happens that our issuer mix is back into growing its volumes and its businesses, and so we're kind of riding that tailwind in our sales in addition to all the other stuff that's going in and out. But the wins and losses you're well aware of. There's almost nothing that you don't know other than smaller institutions, which won't move the numbers the way you think about them. They could move yield but they are unlikely move transaction numbers. And so you'll find our consumer credit and our commercial credit in the first quarter actually both are up over the fourth quarter and both are also kind of doing okay of the course of the year. It's ins and outs, that's in all of them. But most of it would have to do, just exact number for this quarter, would have to do with issuer mix rather than anything dramatic in terms of wins or losses.
Tien-tsin Huang - JPMorgan Securities LLC: So nothing to call out with Europe volumes? I can see the data in general, but just from what you can tell with new regulation in place, has there been any impact on volume?
Ajay Banga - President, Chief Executive Officer & Director: Not yet, Tien-tsin. As I said, that's why I use that comment of Barbara about steady as she goes. I'm really keen to make this period run through in that form of steady focus.
Tien-tsin Huang - JPMorgan Securities LLC: That's great. Thank you.
Operator: Your next question comes from the line of Darrin Peller of Barclays. Your line is open.
Darrin Peller - Barclays Capital, Inc.: Thanks, guys. Look, I just want to follow up a bit on the spread between the revenue growth and transactions processed and the volume or the transactions themselves, the growth rate, as well as the cross-border side, the volume there. And I know you mentioned pricing. Typically, we've seen the intra-European volume obviously have a big impact on revenue growth versus volume. I mean it seems like pricing is maybe offsetting that. I guess for me to get an understanding going forward, is there some sort of a shift that's occurred in the level of volume intra-Europe versus other areas? And is pricing big enough and sustainable enough that we should really forecast the revenue growth rate to outperform the volume growth rate cross-border going forward, just given that's a pretty big tailwind.
Martina Hund-Mejean - Chief Financial Officer: So, Darrin, first of all, these were pricing actions that were introduced last April, April 2015, so that means they have anniversaried now with the first quarter. So you're not going see that in any significant way in Q2. And secondly, from an intra/inter European mix, that means the relative growth rates of those cross-border volumes, we really haven't seen much of a difference there. It was a little bit less of a drag than we had in the prior quarters, but it was still a drag.
Ajay Banga - President, Chief Executive Officer & Director: And by the way, in the cross-border business, in fact, I think that's the other thing you'd like to get a little insight into, the markets that are suffering in terms of our recognizing cross-border business from them are no different from what you would think. Brazil is slower. Nigeria is slower. Canada is a little slower. That's kind of what you would have expected. And China for example, actually is slower into the US but not into other markets. The Chinese cross-border travel seems to be up in a Japan, in an Australia, a little slower into the United States. So all of that is inside the numbers that you see. And that's kind of how you should think about cross-border. We work very hard on cross-border because it's an important part of our business, and the results of our cross-border effort is literally a result of 35,000 different initiatives happening all over the world in different countries on helping to make cross-border be a predictable and good part of our business.
Darrin Peller - Barclays Capital, Inc.: Okay. So thanks. So Martina, should we be modeling cross-border revenue to outperform volume in the next few quarters?
Martina Hund-Mejean - Chief Financial Officer: No. I think you should be going back to what we had before.
Darrin Peller - Barclays Capital, Inc.: Okay. All right. Thanks, guys.
Operator: Your next question comes from the line of Moshe Katri of Sterne Agee. Your line is open.
Barbara L. Gasper - Executive Vice President & Group Executive: Moshe, are you there? Are you on mute?
Moshe Katri - CRT Capital Group LLC: Yes, can you hear me now?
Ajay Banga - President, Chief Executive Officer & Director: Yeah.
Moshe Katri - CRT Capital Group LLC: Hey. So rebate levels remain pretty elevated in terms of growth rates. How should we think about in general the competitive environment? And then on top of that, do we have any large renewals coming up? Thanks.
Martina Hund-Mejean - Chief Financial Officer: Look, Moshe, first of all, the competitive environment has not changed, right. I mean, we have really said that it's always competitive in terms of winning a business. Price is always one factor, but what really plays is what kind of product suites you can offer and how we sell in to a customer. But the price equation has not changed, and you can actually see that from our rebates level in terms of what we're saying for the whole year. We have not changed our view whatsoever, but you do know that we can never perfectly forecast when we sign a particular deal for renewal. So that happens to be here in the first quarter. We have a few more renewals that we signed that we had charted out for the rest of the year.
Moshe Katri - CRT Capital Group LLC: So we don't have anything significant in terms of large renewals this year? Thanks.
Martina Hund-Mejean - Chief Financial Officer: So I think we got pretty much, I mean, every year, we have one or two significant renewals. But at this point, I think we pretty much have gotten our hands around these renewals. Remember, when renewals happen, you typically work at least 12 to 18 months ahead of the renewal of that particular customer, so we got our hands around that pretty well for this year.
Ajay Banga - President, Chief Executive Officer & Director: They're all factored into the guidance that she gave you that during the conversation when she was speaking about the fact that our rebates and incentives as a whole, which also include by the way the impact of better volumes. Remember that we are also paying for volume. So there's not just deals, although that's what you're asking about. There's also volume. And volumes are that, just said in reply to Tien-tsin's question, some of our issuer mix is doing better than they used to. So that's all inside that, and she's factored all that in when she said that you should expect rebates and incentives for the year as a whole to be a little lower than what you saw last year, which was around 20%. In the high teens I think are the words that Martina has been using.
Moshe Katri - CRT Capital Group LLC: Great. Thanks.
Operator: Your next question comes from the line of Jason Kupferberg of Jefferies. Your line is open.
Jason Alan Kupferberg - Jefferies LLC: Thanks, guys. Ajay, I wanted to get your reaction to Walmart Pay and the potential for other similar mobile wallet solutions, whether it ends up being a Target Pay or what have you. Because on the surface, this does seem like a different approach from the merchants as opposed to the MCX approach, because it will offer the consumers opportunity to use all tender types including the traditional networks rather than being hyper-focused on reducing acceptance costs and trying to force the use of private label and decoupled debit payment types. What's your perspective? Did you see an actual change in how the merchants are thinking about mobile wallets?
Ajay Banga - President, Chief Executive Officer & Director: I think this whole mobile space, Jason, is such a fluid and moving space that everybody's trying to figure out what will be the next holy grail. And in truth, I think nobody actually knows. And I think, as I've said many times, it's going to take a few years for this to settle. That's why even companies like ours in mobile, you've seen us place effort, energy, money, bets in everything from whether the transaction data is on the handset or it's in the cloud, whether we are working with mobile network operators or hardware manufacturers or distributors and that stuff. It's all mobile space. It's such an evolving space, and I don't think anybody knows the answers. And I think that's what's going on even with the retailers. I think they're trying to find a way to offer a product and a wallet that their consumer can be connected to for loyalty and not just let a digital player own that space. Also, not just let the banks own that space. The banks, by the way, are doing the same thing. They're trying to make sure they offer products that get the consumer loyal to them and not just let the digital player own that space or the merchant own that space, and of course, the digital player is doing the same thing. So they're all doing a dance right now, and I don't think anybody knows the real answer. But I do believe in two or three underlying factors. The first one is we as a network, we believe that a focus on the person who owns the consumer relationship, in this case the bank or the merchant as it may be, that they are the ones who should be developing the loyalty with that consumer. People like us that are, we're a B2B2C company. We operate through them, and therefore, our role is to facilitate that and do it in a way that drives our business with them and enables our value-added services to be used. So we're very focused on going through them, whether it be through a Walmart or through a Citibank or through a different bank. The second rule that I think applies universally is that more consumer choice in tenders and payments is better than less. And I think that's just to reduce the friction. And there's one large merchant in the United States who doesn't think that way, but otherwise, every other merchant around the world is keen to basically offer more tender choice to their consumer rather than less. And I think that's going to be even more important in the mobile world to reduce friction. I think those kinds of rules apply. And so my view of this is, Jason, don't conclude too much yet, but be prepared to see many efforts going on in different places. I think the days of one model, you know when only one big mobile network or one, or sorry, one big mobile wallet or one big e-commerce wallet existed, those days are going away. There's going to be a lot of competition in that space with multiple tenders, with choice for consumers, and it's going to be interesting to watch where this settles.
Jason Alan Kupferberg - Jefferies LLC: Yeah. All right. It sounds like there won't be just one winner. We'll stay tuned. Thanks.
Ajay Banga - President, Chief Executive Officer & Director: Yeah. I don't think there'll be. That's a very good way to end it actually, Jason. I don't think there's one winner in this game. And I don't think you'll even know who the winners are for a few years to come. I mean, a mobile phone is such a small surface area. If everybody had launched all their wallets, you would have no place to sell a product to anyone. You have places to make payments with, which probably is not where the mobile guys are going, and so.
Jason Alan Kupferberg - Jefferies LLC: Thanks for color. I appreciate it.
Operator: Your next question comes from the line of Bryan Keane of Deutsche Bank. Your line is open.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi, guys. Just wanted to follow up on cross-border. Martina, I think you mentioned that it slowed a little bit on the update due to Europe, so just looking for color on that. And then obviously when you compare your cross-border growth rates versus peers, they seem to be quite a bit higher. Just trying to again reconcile some of the differences there. Thanks.
Martina Hund-Mejean - Chief Financial Officer: Yeah, Bryan, look, in terms of the slowing on the cross-border, we obviously see a number of factors. One, certain countries have certain economic issues, so you can put in there Brazil, Venezuela, Russia, Nigeria. So there's a swath of countries who just economically having a really tough time, and you don't see a lot of outbound travel from there. Secondly, there are a number of other countries that just impacted by the stronger dollar, right. So you can see Australia, Canadian dollar. So that number of, those economies that are actually doing okay, but they're not traveling in dollar-indexed countries as much just because the dollar is so strong. And even though we saw a little bit of a weakening of the dollar for the first quarter, it's still at a very, very high level. So I think you will see all of that coming through this year, albeit at a lower level of impact than what we saw in 2015. In terms of reconciling it to competitors, that's a tough one, right. I mean you're going to have to ask them how they do their methodology, but I would presume that outside of Europe, we're seeing relatively similar trends, other than that I hope that we have a little bit of a better growth rate given all of the activities that Ajay has mentioning we are undertaking with various portfolios.
Ajay Banga - President, Chief Executive Officer & Director: The only other thing I'd add for you is the opposite side of that weakening currencies there has been that we have seen over time some increased US travel into some of the European countries. But all of this kind of washes in and out of the numbers you're seeing. And you do see an impact caused by destabilizing world events. So it so happens that Europe has, back to your European question, Belgium and Turkey are both in our European numbers, and both Belgium and Turkey have had a somewhat difficult time with their security situation over the last few months. And Paris, which got impacted so unfortunately in November last year, has still not recovered to what it used to be prior to November. And so there's a little bit of that inside Europe as well. But at end of the day, it's a little slower than it was in the first quarter, and then of course, there's Easter.
Martina Hund-Mejean - Chief Financial Officer: Yeah. You have Easter.
Ajay Banga - President, Chief Executive Officer & Director: And so it's really hard to give you a broken up pattern of all those. All that's washing through the number that we're talking about.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. Thanks for the color.
Operator: Your next question comes from the line of Chris Brendler of Stifel. Your line's open.
Christopher Brendler - Stifel, Nicolaus & Co., Inc.: Hi, thanks, good morning. Question on Europe real quick. I know you mentioned that you haven't seen any real impact from the EU regulations. But any shift at the margin from credit cards to debit cards as rewards products leave the system? And then an unrelated question quickly, your major competitor in Europe changed the terms of their acquisition on the earnout. Does that have any impact competitively? Thanks.
Ajay Banga - President, Chief Executive Officer & Director: It's too early to see the impact of those EU regulations yet in the kind of numbers that you would want to look at. I think no doubt you will see impact over a period of time. I have every expectation that acceptance will expand because of lower merchant costs.
Martina Hund-Mejean - Chief Financial Officer: And we have seen that.
Ajay Banga - President, Chief Executive Officer & Director: And we've seen some it already. But the results of their acceptance expanding in terms of impacting our volume in a way that I can give you tangible numbers, you got to just give it a few more months. I have every expectation that the separation of scheme and processing is going to require some work. We're doing that work. It may not impact us enormously in terms of expense in the first quarter, second quarter. But you know what? These are things that all add to work. And I would be loath to tell you that the EU regulations are going to have no impact. I think it's a pretty serious industry move, and it will have an impact for a period of time in the way the consumer behaves, the merchant behaves and the way we construct our business there. The second part about Visa and its Visa Europe stuff, as I said to the first question when I got asked in the beginning, it's still early. It's just been announced by them that they're changing the terms of the manner in which the exact deal's priced as well as the timing. I think over the next two or three months, we'll see what that does in terms of how issuers are thinking. My general sense is it'll make it easier for an issuer to know exactly what they're going to get paid from the exercise of the put, and that'll make it a little easier for them to comprehend what they're getting and what they're leaving behind if they make a decision, which in a sense is a good thing. That's transparency. And the second part of it is it's going to be three months or so later, so it's just going to make it a little longer out on gestation periods. Meanwhile, we're all working away like busy beavers here.
Christopher Brendler - Stifel, Nicolaus & Co., Inc.: Great. Thanks, Ajay.
Operator: Your next question comes from the line of Dan Perlin of RBC Capital Markets. Your line is open.
Daniel Perlin - RBC Capital Markets LLC: Thanks. So a lot of discussion around kind of gaining local market processing, I think globally and in particular in Europe. I'm wondering, just as a broad rule of thumb, can you give us some sense about implications as you capture more of that for revenue yields?
Martina Hund-Mejean - Chief Financial Officer: Well look, when you talk about local processing, I presume you're talking about issuer processing and acquiring processing, the assets that Ajay was talking about in his script. And we have told you before that typically those kind of assets produce a lower yielding transaction than what we see in our switch transaction, so in off-clear and settlement. But the purpose for us is not just to be making money on that processing piece. The primary purposes is that we're doing this in countries where we typically don't switch the transaction. So that means it's a different means for us to be actually seeing the transaction, and then what we do with the transaction is utilizing it for additional services. So as soon as we see a transaction, we can for instance put our safety and security products in it. We can do data analytics in it. So you kind of have to look at this whole picture holistically, not just at the yield that that processed transaction actually produces.
Ajay Banga - President, Chief Executive Officer & Director: One thing you know for sure is that, as I've said in previous investor days as well as over time, we are clearly investing in building out our capabilities in these value-added services. We believe those are important for the next decade and two in the business. There's a lot of runway in seeing transactions and processing, because 85% of the world's retail transactions are still cash. So yes, there's a lot of runway, but there's also a lot of runway in building ancillary services that are connected to the transaction. I'm not interested building services that are not connected to our core business. Neither am I interested in building services that have a very high proportion of annual renewal in them. We're trying to build it the right way so that out 10 years and 15 years, it will be an outstanding asset for our company. We told you in, I think the last investor day, Martina, was in September?
Martina Hund-Mejean - Chief Financial Officer: Yes.
Ajay Banga - President, Chief Executive Officer & Director: I think we told you that close to a quarter, a little less than a quarter, of our revenue was now coming from all these services, and we are continuing to focus and grow those.
Martina Hund-Mejean - Chief Financial Officer: Yeah. Now, you had a specific question on revenue yield. Remember how we do revenue yield, right. You're actually looking at switched transactions when you look at the transaction processing fee. That switched transaction does not have included the processed transaction that's coming out of our issuer and acquiring processing. So when you just calculate normal yields, albeit on the domestic assessment side, be it on the cross-border side, be it on the transaction processing side, you're not going to see that impact.
Daniel Perlin - RBC Capital Markets LLC: Got it. And then if I could follow up on Ajay, your point you're making on information services that I think at analyst day you said, like you said, around 20%. I think you also had mentioned the margins on that business were around 40%. And I'm just wondering if we think about the update, is there a structural reason why you can't get those to be at or above kind of typical MasterCard margins, or is that just structurally going to be lower longer-term? Thanks.
Martina Hund-Mejean - Chief Financial Officer: Yeah, so let me just take this one moment. First of all, what we said that our services business roundabout are approaching about 25% of our total revenues. And yes, we did say that the margin is around 40% at this point in time. There is a whole mix of different businesses in there. So what I just said about the processing business, typically that is a much lower margin type of business. When you look at some of the information services businesses, it's a higher margin, and when you look at the safety and security business, it's an even higher margin. So Dan, I can't just mix them all together because there's just a number of facets in there. But what we are doing, and this is what we said, is given that we have done a number of acquisitions, folding them together with our assets, we have made, and you remember maybe the restructuring charge that we took 15 months ago or so, we have actually made some really good progress to be increasing the margin of these businesses over time.
Ajay Banga - President, Chief Executive Officer & Director: And that's kind of what the point that's in the September time or sometime in the fall I think Martina made the point that, yes, the margin is now 40%, but scale does bring a higher margin. Just as, by the way, scaling our core business has been improving our margin over time. So I don't consider these to be inherently lower margin businesses, if that's what you're trying to get certainty on. They're in the mix. There are some that will be inherently lower. There are some that will be inherently higher, just like in our current core business there are different yields and different margins even in our current core business between the different kinds of payments involved and the different kind of things that we do involved there. So it's all about our mix.
Daniel Perlin - RBC Capital Markets LLC: Excellent. Thank you.
Operator: Your next question comes from the line of James Friedman of Susquehanna. Your line is open.
James Friedman - Susquehanna Financial Group LLLP: Hi. Thanks. It's Jamie at Susquehanna. I was wondering if you could give us any perspective on corporate commercial cards? Are they accelerating, decelerating, and is there an opportunity internationally for those? Thank you.
Ajay Banga - President, Chief Executive Officer & Director: Yeah, so we talked about commercial a little bit as well. But I, honestly I consider the whole commercial business to be a continuing area of growth, and I am sure so do my peers. Because it's not just about us or our peers, it's the marketplace. This commercial business has a nice opportunity for all of us. We signed a deal with Barclays in the UK recently. We've expanded our global agreement at Citibank to include their commercial card portfolios in Asia, in Europe, but also in the United States. We've kind of seen continuing strong adoption of Smart Data, which is our reporting and reconciliation tool. We are seeing continuing adoption of In Control for commercial payments, that's virtual cards. And most interestingly, we're starting to see increasing interest beyond the typical bankcard issuers. You're looking at technology providers, who embed their commercial payment solution into their software and platform. We're working with them. They're working with payment aggregators in insurance and healthcare. It's an interesting space. We're in the early stages of a long run in commercial, but we feel good about where we're going. And we're continuing to see good growth in the, not just in the US, by the way. This is this commentary that you heard me talk about has a number of overseas geographies that are picking up business volume and effort as well.
James Friedman - Susquehanna Financial Group LLLP: Thank you.
Barbara L. Gasper - Executive Vice President & Group Executive: Operator, I think we have time for one last question.
Operator: Your last question today comes from the line of James Faucette of Morgan Stanley. Your line is open.
James E. Faucette - Morgan Stanley & Co. LLC: Thanks very much. I just wanted to follow up on the question around expenses and particularly changes in Europe. I'm just wondering how much and we should expect and when we should expect expenses to start to be incurred around preparation for compliance with EC regulation or potential impact on separation of brand from scheme, et cetera? And I guess just get a gauge from you as how much of an impact we should expect that to have on your P&L. Thanks.
Martina Hund-Mejean - Chief Financial Officer: James, so first of all, any impact that we expected from the separation of scheme and processing in Europe was already folded into our performance objectives as well as any commentary that I made about 2016 in terms of operating expenses. So it is all folded in. What we really have to do is we have to separate the switching business into an isolated unit. It's not a legal separation; it's a functional separation. It reports separately from our European President, Javier Perez. It has to have obviously enough of a substance in there so that the unit can go to market as well as that it can do its middle office and back office functions. And so you should expect that while it is a smaller unit, that it will be very well seated with the right kind of people, and it will have some impact on our operating expenses, but as I said, this is already all factored into our commentary.
James E. Faucette - Morgan Stanley & Co. LLC: And I appreciate.
Ajay Banga - President, Chief Executive Officer & Director: And by the way, just to be clear on that, that's part of what I said in an earlier call. The way Martina manages our expenses is that we're going to do what we've got to do. We've got to do what we do strategically as well as what we are required to do by law in a place. But then, like NSPK for example in Russia, in our G&A line of 11% includes the impact of the Russian processing which is now coming through our expense line, which by the way, is just what it is. We've got to manage it, and it's part of what we're going with. There's no point in my pulling that out separately for you and saying ex-that, I would have been even better. The way we manage this, like we manage acquisitions, once it's ours, it's ours. And we've got to find a way to cut expenses elsewhere while investing in the right things. And you will see us do that on Europe. You've seen us do that on Russia. You will see us do it with all these acquisitions and with the strategic investments. That's kind of what we're trying to do, manage our expenses in all aspects of our lines.
James E. Faucette - Morgan Stanley & Co. LLC: Thank you very much. That's great.
Ajay Banga - President, Chief Executive Officer & Director: Okay. So thank you all for your questions. I'm going to leave you with a couple of closing thoughts. And the first part is, I think our business is performing well. You see that reflected in our strong volume and transaction growth, and that's despite the somewhat uneven global economy. We are growing revenues from our core businesses but also from our services as we just had a discussion of, both organically and through the ongoing successful integration of our acquisitions for the last few years. We're pleased with our progress across MasterPass, across the MasterCard Digital Enablement system and our partnerships with many of the digital players. But as I said in the answer to Jason, there's a lot of things that will evolve there, and this is a marathon not a sprint. We continue to build on our momentum in safety and security. We are committed to making sure that is what consumers get, no matter which channel or which instrument or device they choose to use to shop on. And we remain very focused on creating a better experience for both cardholders and merchants across all these channels. So thank you for your continuing support of the company, and thank you for joining us today.
Operator: This concludes today's conference call. You may now disconnect.